Operator: Greetings, and welcome to the Essential Properties Realty Trust, Inc. Fourth Quarter 2020 Earnings Conference Call. . As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Dan Donlan, Senior Vice President of Capital Markets. Thank you. You may begin.
Daniel Donlan: Thank you, operator, and good morning, everyone. We appreciate you joining us today for Essential Properties Fourth Quarter 2020 Conference Call. With me today to discuss our fourth quarter and full year results are Pete Mavoides, our President and CEO; Gregg Seibert, our COO; and Mark Patten, our CFO. 
Peter Mavoides: Thank you, Dan. And thank you to everyone who is joining us today for your interest in Essential Properties. We are excited to report our fourth quarter and full year results and, more importantly, turn the calendar to a new year.  While the COVID-19 pandemic is still very much with us, our tenants have adapted their businesses to profitably operate in the current environment. And most importantly, pay rent reliably and timely. I want to take a moment to acknowledge all of our employees at Essential Properties and their incredible efforts over this unprecedented year. Our team members rose to the challenges presented by the pandemic by effectively managing tenant relationships, negotiating, structuring and documenting the appropriate tenant accommodations; working through necessary lease restructurings and asset repositionings; and then seamlessly and aggressively shifting back to growth when the conditions warranted in the back half of 2020. These actions have stabilized the portfolio with high occupancy and sustained rent collections, and we are firmly on track to deliver attractive earnings growth in 2021 and beyond.  Turning to the fourth quarter. We saw a continued improvement in our rent collections and an increase to our occupancy as we relet properties and restructured leases for a handful of larger tenants. In addition to these positive operating trends, our cost of capital has continued to improve, and the capital markets remain conducive towards investing in external growth opportunities and maintaining a conservative balance sheet to support that growth. As such, with pent-up demand from our existing relationships and renewed M&A activity from various growth-oriented tenants, we invested $244 million at a 7.1% initial cash yield in the fourth quarter, which was a record level of activity for us. Consistent with our investment strategy, 88% of our investments were direct sale-leasebacks and 90% were transactions that involved an existing relationship, which speaks to the quality of our market relationships and the predictability of our investment platform from both a sourcing and underwriting perspective. All of these combined factors gave us the visibility in late January to provide 2021 AFFO guidance of $1.22 to $1.26 per share. 
Gregg Seibert: Thanks, Pete. During the fourth quarter, we invested $244 million into 108 properties through 33 separate transactions at a weighted average cash cap rate of 7.1%. These investments were made within 11 different industries with over 80% of our activity coming from 5 industries: quick service restaurants, equipment rental and sales, auto service, medical dental, and car washes. The weighted average lease term of our quarterly investments was 16.3 years. The weighted average annual rent escalation was 1.4%. The weighted average unit level coverage was 3.6x, and our average investment per property was $2.2 million.  Consistent with our investment strategy, 88% of our fourth quarter investments were originated through direct sale-leasebacks, which are subject to our lease form with ongoing financial reporting requirements and 89% contain master lease provisions. From an industry perspective, car washes are our largest industry at 15.5% of cash ABR followed by quick service restaurants at 13.9%, early childhood education at 12.3% and medical dental at 10.6%. We view these 4 business segments as Tier 1 industries for Essential Properties. And going forward, we see our industry concentration increases coming into auto service, equipment rental and sales, pet care services, building materials and grocery. 
Mark Patten: Thanks, Gregg. As we reported in our earnings release last night, we were pleased with our fourth quarter results, particularly the initial impact of our strong investment activity that kicked off in the latter part of the third quarter. Our operating results for the fourth quarter of 2020 compared to the same period in 2019 included total revenue of $41.1 million for the fourth quarter, an increase of approximately $1.9 million or nearly 5%, which was impacted by having to write-off nearly $1.5 million in revenues, including nearly $1 million of straight-line revenues previously recognized that mostly stemmed from the Chapter 11 bankruptcy filings of 2 tenants during the quarter. We also recognized an additional COVID related adjustment in the quarter, as we picked up nearly $1 million in property level expenses, specifically property taxes associated with the previously mentioned tenants that have filed for bankruptcy as well as other vacancies that were resolved in the quarter. 
Peter Mavoides: Thanks, Mark. We are excited that the operating environment and capital markets have allowed us to pivot away from managing through the pandemic with our tenants and properties and move forward with capitalizing on our robust pipeline of accretive investment opportunities in order to drive earnings growth. More importantly, we believe our disciplined and differentiated investment strategy has created an incredibly resilient net lease portfolio that should continue to generate attractive risk-adjusted returns as we grow in the future.  With that, operator, let's please open the call for questions.
Operator: . Our first question comes from the line of Nate Crossett with Berenberg.
Nate Crossett: Obviously, acquisition volumes have been ramping. So I was just curious to know what kind of the run rate is baked into your guidance here? And then also, just based on the current size of your team, is there kind of an upward bound limit that we should be thinking about?
Peter Mavoides: Sure. Thanks, Nate. The fourth quarter was a really big quarter for us, and we're happy with the results there. But as been our tradition, we don't provide acquisition guidance. We provide very specific detail on our trailing 8 quarters average. And really guide people to that as an indicator of where we're likely to transact. And you can see that's been a wide range, and it really depends upon the opportunities that come in, in any given quarter, but averaging at around $125 million, $150 million with highs and lows, you can see in our disclosure. Our team, when we came public and has been staffed and remains staffed to transact at that level. And so as you look out in 2021, certainly, our guidance has a range of assumptions built into it, but a good baseline is looking at the trailing average.
Nate Crossett: Okay. That's fair. What about just your comments on pricing? It seems like, for the year, it was pretty stable, just above 7%. Is that kind of your expectation for this year as well?
Peter Mavoides: Yes. The cap rates over the last 8 quarters really range from 7.1% to 7.5%, I would say that there's really two factors going into that: one being the industry mix; and two being the overall competitive environment. And really, our industry mix, as we've said on the call, has been gravitating towards the more secure industries we invest in and away from some of the more risky industries. And that's impacted our cap rate down. And then I would add, it's awful competitive out there right now. A lot of people have a lot of capital to put to work in the space. I think coming through this pandemic, there's a greater appreciation of the durability of the assets in the space, specifically the middle market tenants. And so we're seeing a lot of competition. And we fight to get every basis point we can on our transactions.  And generally, my guidance there has been low to mid-7s, I would say, low 7s. Gregg and I have been investing in this space for 20 years and really it's rare that we had been investing below 7, and it's becoming more and more common. And so there is a lot of competitive pressures on that. It's hard for me to see a scenario where an entire quarter is sub-7, but I wouldn't put it out of the realm of possibility. But certainly, we're trying to get the best risk-adjusted returns. And fortunately, our cost of capital is supportive and to make those accretive even if we do dip down, but low 7s would still be the guidance.
Nate Crossett: Okay. Just quickly on the cost of capital side. Do you guys think that you're getting closer to a potential investment-grade rating at some point, just given that you're growing pretty quickly?
Peter Mavoides: Well, sure. I would remind you, we have investment-grade rating from Fitch. We certainly have maintained an investment-grade quality balance sheet since coming public. We hadn't really pursued a second investment-grade rating really because we hadn't needed to support our debt activity, I think that may be on the calendar here for 2021. And so certainly something we're thinking about and looking at, but I do think if we needed it, we could get.
Operator: Our next question comes from the line of Haendel St. Juste with Mizuho.
Haendel St. Juste: Hope everyone's well. So my first question, I was hoping you guys could talk about the two bankruptcies in the fourth quarter, Loves and Ruby Tuesday. It sounds like in your comments that you've made some real progress there. So maybe can you share some color? Have you re-leased all of the former boxes? What do the recoveries look like? What do you think they'll look like? And maybe also clarify what's embedded in your guidance for those resolutions?
Peter Mavoides: Yes. I would start by saying those -- the guidance has the resolution of those situations in our guidance. I would say the recoveries are not static and certainly complicated. Particularly as you think about Ruby Tuesday, where we sold assets at material gains over the investments and repositioned assets and taken assets back vacant, to be repositioned and the recovery is really just the face rate of rent. And really, we could re-lease an asset to a local tenant that would trade at an 8% cap or re-lease an asset to Chick-fil-A on a ground lease that we trade at a 4% cap. So the static recovery number is not something we're going to disclose on either of those investments. What I would say is, generally, we provide some very detailed numbers on our recoveries in our supplemental, generally in the 90% range. And certainly, both of those -- my expectation on both of those scenarios would be, ultimately, when everything shakes out, we would be relatively consistent with that.
Haendel St. Juste: Okay. Maybe differently. It sounds like you're further along with the Ruby, then the Loves. And I guess, curious on the demand for the Loves' furniture boxes, what type of market is there? And maybe some color on what the rent levels broadly in the market offer for that types of space?
Peter Mavoides: Yes. It really -- I would start and say that we only had 4 Loves, 4 former Art Van sites. And so we don't have a broad sample set. Recoveries can be as low as $6 a square foot or as high as $18 a square foot, really depending on the specific sites. As we sit today, we have 1 remaining Loves' furniture and we have worked to reposition two of them to another furniture operator. And one of the third one, we repositioned is not in the furniture use. But generally, the recoveries and the assets are decent and fungible.
Haendel St. Juste: Appreciate that. And one on -- the collection set on Page 15 of the supplement, I was hoping you could set some light on some of the figures and the drivers of sequential changes in January versus the fourth quarter. Collections overall, you noted were up to 97% in January versus 96% in the fourth quarter, but your cash collections were up from 91% last quarter to 95%, while the deferral declined from 5% in 4Q to 2% in January. So can you talk a bit about some of those sequential changes? Maybe a bit of color on the leases you mentioned, restructuring? And also, what's left in that 2% deferral bucket? And when do you expect to convert that to cash rents?
Peter Mavoides: That's a lot of questions there, Haendel. Generally, we had -- I would say the biggest change in collections of cash rent was certainly the expirations of deferrals. As we said on the call, we had some new deferrals that crept in late in the fourth quarter. But generally, when we approached the deferrals in the second quarter of last year, we really weren't looking out beyond the end of the year, really recognizing that the situation would change. It would be materially different. So the biggest change in collection of cash rents, I would say, is just the expiration of deferrals. We also had a bunch of repositionings, assets that went offline and came back online throughout the fourth into the first, which is going to contribute to that. Sitting here at 95% collections and 2% recognized deferrals.  We really end up talking about the 3%, and a good chunk of that remains our 5 theaters leased to AMC and they continue to struggle, that industry continues to struggle. And I'm sure you've gotten some much more insightful commentary on the movie industry from other net lease peers who have much larger exposures, but that remains a good chunk of the 3% that we're not collecting.
Haendel St. Juste: And if I could follow up on, you said -- you mentioned that there was some deferral that crept in late in the quarter. I'm curious, it sounds like those might have been COVID restriction-related. So maybe some color on the tenant industry? And what makes you think that, that's  deferrals.
Peter Mavoides: It was COVID-related and the reinstitution of shutdowns, largely, the sectors that remain challenged are the entertainment and fitness centers, as you would imagine. What gives me comfort in recognizing those deferrals is that those tenants have remained current, and those tenants remain creditworthy and are supported by good capital structures.
Operator: Our next question comes from the line of Katy McConnell with Citi.
Mary McConnell: Can you maybe just touch on the timing of 4Q acquisitions and whether an acceleration of closings before year-end might be the reason for the lighter volumes year-to-date?
Peter Mavoides: Yes. I mean, listen, generally, in this business, Katy, the acquisitions, for better or for worse, tend to be quarter-end loaded. And this fourth quarter was no different. We fight like heck every quarter to front-end them and for whatever reason they tend to slip. And that trend is particularly acute in the fourth quarter where you have some more activity that's more tax driven. And that year-end crush tends to result in a January lull that we all in the industry fight. I would argue, sitting here at 50, I wouldn't say that, that's a slow start to the year. We feel good about that. We feel good about our pipeline and are excited for a big March.
Mary McConnell: All right. And then can you provide some more background on what drove the tax adjustment burden to fall on you in the fourth quarter? And could that be a risk for any other bankruptcy tenants that you have exposure to?
Peter Mavoides: Yes. I mean when we kick out a tenant and terminate a lease, we become liable for those taxes and paying those taxes to the extent that a bankrupt tenant isn't paying it, and that's what happened. And so that's -- as a landlord and owning over 1,100 properties, we certainly bear the risk of taxes. And we pass those risks through to our tenants, but to the extent that a tenant becomes uncreditworthy, we become liable. Now oftentimes, we'll receive a bankruptcy claim, that will make us hold for those taxes. And it becomes more of a timing issue, but that's certainly a risk for all net lease investing. And -- but in general, I think it was outsized in the fourth quarter and shouldn't be repeated in the first quarter here.
Operator: Our next question comes from the line of Sheila McGrath with Evercore.
Sheila McGrath: Pete, I was wondering with the benefit of hindsight if either tenants or Essential Properties, as a landlord, are requiring any new lease language surrounding a shutdown, like providing more clarity on what a short-term deferral might look like?
Peter Mavoides: That really -- Sheila, that hasn't crept into our lease negotiations; quite frankly, I wouldn't be surprised if tenants start looking to share that risk of state-mandated shutdowns. Currently, the tenants bear those risks and are required to pay rent regardless of mandated shutdowns, which is why we were forced to structure deferral agreements as opposed to tenants being able to say force majeure and not pay rents as of rights. And ultimately, the leases are allocation of risks. So that hasn't crept in. And quite frankly, given the nature of the pandemic and, hopefully, it's a once-in-a-lifetime event for us, I don't expect it to be topical.
Sheila McGrath: Okay. Great. And 1 last question. You did have more dispositions in fourth quarter than typical. Just wondered what the drivers there are? And do you expect larger disposition volume in 2021 as you reduce casual dining and exposure to gyms?
Peter Mavoides: No. I think those industries are rightsized where they are. We had one large tenant buyback that happened in the fourth quarter, and quite frankly, that tenant wasn't performing as we would have expected. So we were happy to transact and move those assets back and be able to redeploy that capital into better performing operators. I would say our historical average is a good guide on the dispositions, much like on the acquisition. So it's certainly heightened in the fourth quarter, but that $15 million-ish a quarter feels about right for 2021.
Operator: Our next question comes from the line of Ki Bin Kim with Truist.
Ki Bin Kim: So there were a couple of moving pieces to the revenue run rate this quarter, and you guys did a good job outlining some of them. But just given how some of these kind of trouble tenants have been released like Town Sports or Ruby Tuesday or Loves Furniture, I'm just curious how much ABR is on the come and not in the fourth quarter run rate.
Peter Mavoides: I don't know what you mean by on the come, Ki Bin, but Dan, why don't you tackle that?
Daniel Donlan: Yes. I mean, so Kim, I think the main aspect would be Town Sports. They paid us -- Town Sports paid us rent in December. So I think that's a big piece of it. And then you just have the nonaccrual tenants that are paying us and paying us on a cash basis. So as those folks potentially pay us more going throughout 2021, that's potential upside to the run rate as well.
Peter Mavoides: Yes. I would say, certainly -- the fourth quarter is certainly depressed from a run rate perspective, and we have good momentum in the first quarter, which is reflected in our guidance.
Ki Bin Kim: So I guess one piece of that is the $1.5 million, right, of ABR and expenses that was a drag in the fourth quarter, that will reverse. My question was with something like Town Sports, you have 1 month of rent. I'm not sure if there's other aspects to other tenants that you only collect a partial rent. But -- so starting in the first quarter, is it $1.5 million-plus? What other dollars are -- that should we be modeling going forward?
Peter Mavoides: Well, part of it is the $1.5 million is the catch-up on  recognized over several quarters. So not going to be 1 quarter shot for the one, as part of that is a straight-line catch up.
Ki Bin Kim: Okay. Got it. And how much rent are you currently collecting from AMC? And if there's been any dialogue that you've had with your tenant?
Peter Mavoides: Yes. Yes, I'd stop short of disclosing exactly what we're collecting from AMC. You'll recall that we put them on a percentage rent deferral through the end of the year, that really was kind of dependent on the level of revenue, they achieved at our sites. And certainly, we've been in active dialogue with them and as have all their landlords, and it remains a fluid situation.
Ki Bin Kim: Got it. And just last question for me. What kind of G&A run rate should we expect in 2021?
Peter Mavoides: Well, I think where we settled out in Q4 -- I mean, I think that was a pretty good run rate other than I think it's going to tick up a little bit simply because one of the things we -- from a compensation level in terms of incentives, just obviously, this year being tougher than most. But on some of the professional fees, we're hopeful that, that's kind of a recurring better news. So I think probably, where we finished off -- maybe just grab it real quick. I think probably, if you look at just total G&A for getting cash G&A, unless that's kind of where you're going, but I think total G&A, it's probably -- it will probably tick up a little bit from that $24.4 million that we had for the full year. So probably a little bit more than that, call it, $1 million.
Operator: Our next question comes from the line of Greg McGinniss with Scotiabank.
Greg McGinniss: So Pete, EPRT has had a fairly concentrated approach to target industries, in which you're looking for acquisitions. But we noticed that you added other services to the industry exposure disclosure this quarter. Just curious what that category encompasses? And whether or not you're starting to look into other industries for transactions?
Peter Mavoides: Yes. Thanks, Greg. I would say we've always had another services bucket. And generally, when an industry reaches a sufficient concentration to warrant being separated out, we will do that, much like we did with equipment rental and sales. The underpinnings to our investment thesis is owning service and experience-based real estate and coupled with granular, fungible pieces of property, right, which has manifested in our $2.1 million investment per asset and then the services are pretty self-explanatory. So we're certainly open to other industries to the extent that if they're service-based industries and they have real estate fundamentals that -- or meet our fungibility and granularity criteria, and so we're open. We're constantly looking to expand our investment universe. And that remains a challenge for the investment team here. As we sit today, what sits in that 2.3% of other services, I don't know that. I don't know off the top of my head. Dan, what we got?  Dan is giving me a blank stare because he doesn't know either. 2.3% other services, what's in that bucket as we sit today?
Daniel Donlan: It's mostly funeral homes.
Gregg Seibert: Okay. We have some other assets, which maybe have a -- we have one in particular that's a small retail and a service component. And some of those are just not real easy to identify into one of our existing buckets. 
Greg McGinniss: Okay. That's fair. Just another one. You've mentioned lowering exposure in some categories where you're not as bullish on future prospects. I'm just curious if there's any specific tenants right now in the portfolio that may be rent paying, but you have some near-term concerns? Kind of trying to get at whether or not that 97% rent recognition in January is a fair run rate until AMC has dealt with and maybe a little bit of some of the other minority of tenants where you're also not recognizing rent?
Peter Mavoides: Yes. I mean, listen, we have 237 tenants, and certainly, some of them are on our watch list and we're working to rightsize those investments as you see in our disposition activity. Certainly, the 3% that's in the non-recognized, 2/3 of that is AMC and the other is a bunch of little guys that I would say, is not terribly material. We're hopeful that 1% comes back online, but it's certainly not a driver of our story.
Operator: Our next question comes from the line of Caitlin Burrows with Goldman Sachs.
Caitlin Burrows: I was wondering if you could just talk about on guidance, what additional credit events, if any, are assumed in the guidance range? Whether that bankruptcy impacts, the debt levels and how that compares to 2020 or 2019 actual results?
Peter Mavoides: Sure. And welcome back, Caitlin, and thank you for reinitiating on us. Listen, this whole COVID pandemic, in our view, really accelerated the restructuring of weak tenants within the portfolio. And so I think the high level of restructurings we experienced in 2020, largely, from our perspective, is in the rearview mirror. And as we look out to 2021, we expect a much more normalized level of credit events. As we've disclosed in the past, a good proxy is roughly 50 basis points of ABR. And we certainly bake in a generic credit loss assumption as well as specific situations that we know of. And I think guidance incorporates all those scenarios.
Caitlin Burrows: Okay. And then maybe similarly, in terms of increasing from the recognized rent levels, I think, in the fourth quarter, it was about 94%. Does guidance assume an increase as the year goes on or not?
Peter Mavoides: Yes. I mean, we expect the deferrals to burn off. We expect guys who aren't paying to either start paying or we have the ability to kick them out and put people in who will pay. And we make a very tenant-by-tenant, asset-by-asset assumption as we look at the portfolio and we build up our guidance. And I think we don't envision a scenario where we have assets that we're not collecting rent that we don't collect rent in the future.
Caitlin Burrows: Okay. And then maybe on the unit level rent coverage. It looks like that was the same in 4Q '20 and 4Q '19 at 2.9x, but the distribution of tenants has shifted so the amount with coverage above 2x has declined in the portion with coverage under 1x. I was wondering if you could just go through some of the details on how that distribution and pie chart that you show has shifted, but the overall remains unchanged?
Peter Mavoides: Yes. I think, certainly, my commentary on the call was we really have been steering people away from that disclosure as we didn't feel it was particularly relevant given the nature of the pandemic and the fact that the majority of our tenants were offline for an entire quarter and partially online for the balance of the year. And that's one of the reasons why we've transitioned to provide monthly collections data is because that is much more real-time and indicative of the risk in the portfolio. So I don't spend a lot of time looking at that distribution just because it doesn't take into account the pandemic, nor does it take into account the deferrals that we're granted. And so generally, we expect that number to be pretty noisy kind of through the second quarter until we start getting the full effects of this pandemic behind our tenants.
Caitlin Burrows: Okay. Got it. So I think you may be kind of answered it, but then would you say that it's fair to think that those that have shifted in there that, that's a temporary shift and that over the kind of medium to longer term, you would expect those metrics to look more similar to pre-pandemic?
Peter Mavoides: Yes, certainly. And I would say, if we were to go through the exercise of affecting all of those sites for the deferrals that were granted, I would imagine it looks pretty similar to pre-pandemic levels, if not better. Are we done operator, we got any more questions, guys?
Daniel Donlan: Where the operator go?
Peter Mavoides: Operator, you there?
Operator: Ladies and gentlemen, I apologize for the delay. We're going to go ahead and resume our conference. Our next question is going to come from the line of Sam Choe with Crédit Suisse.
Sam Choe: I think most of them have been answered. But I'm seeing that Mavis Discount Tire entered your top 10 tenants. Am I correct to assume that this was an example of you guys expanding on a pre-existing relationship?
Peter Mavoides: Yes. Yes, Sam. And we apologize for the gap there. We lost our operator somehow, but we're happy to plow-through the rest of the questions here. Yes, we did some investments with them earlier in the year, and we're able to do some add-on investments with them. They're a great tenant, a great company. We have really good sites in the Northeast that we were happy to add to our portfolio.
Sam Choe: Got it. So I think in your prepared remarks, you said that most of the growth, around 80%, 90% has been pre-existing relationships. So could building on pre-existing relationships increase top 10 tenant exposure? Or given that growth will be throughout your entire portfolio, that should be relatively flattish?
Peter Mavoides: Yes. We have relationships with vast majority of our tenants, and we look to continue to grow with them. When tenants start populating our top 10, we kind of, again, capacitized with our exposures and kind of stop investing at some point. And certainly, managing our top 10 concentration, managing our individual concentrations are important portfolio construction considerations that we weigh. And so I would expect the vast majority of our investments to be outside of our top 10.
Sam Choe: Got it. One more from me. So your strategy of reducing exposure to the more challenged segments make sense, obviously. But I'm seeing that you guys added some health and fitness assets during the quarter. What was -- I mean, what did you like about those assets? Because I think you mentioned that you still consider casual dining and health and fitness core operations?
Peter Mavoides: Yes. I would think the -- what you're seeing in adding that was the re-tenanting and repositioning of our Town Sports that was in bankruptcy in the third quarter and emerged during the fourth and -- started paying rent during the fourth. We like gyms that are well-positioned from a membership perspective and a revenue perspective and a competition perspective. They have high coverage. They are newer facilities that are well positioned against older facilities within those local markets and have a rent basis that gives us comfort that if it doesn't work out as a gym, we'd be able to put another user in there at a similar rent level. And so we're open to investing in gyms, and we continue to evaluate opportunities in the health and fitness space. And I think it's not going to be a material part of our investments, but certainly, we'll continue to look there.
Operator: We'll move on to our next question, which is coming from the line of R.J. Milligan with Raymond James.
Richard Milligan: Most of my questions have been asked and answered. I'm just curious, with the recent spike in the 10-year, has that had any impact on your business? And then at what point or what level does the 10-year need to get to before it does start to have an impact on your business?
Peter Mavoides: Yes. Certainly, I would say the recent spike has not had any material impact on our business. We're making 15- to 20-year investments, add spreads to our cost of capital that is historically wide and really hasn't crept in. And certainly, you overlay that with a 90 -- a 60- to 90-day transaction cycle, a 30-day movement isn't going to really impact those transactions. We think a move in the rate would, ultimately, help us as it would disadvantage more leverage dependent private buyers. And also create -- make alternative capital sources for our tenants more expensive. I would stop short of saying what that move would look -- would have to be. And I certainly think as you think about the forward yield curve, that level of dramatic move isn't what the market is anticipating.
Richard Milligan: Okay. That's helpful. And then just in terms of typically going after non-rated or below investment-grade tenants as we've moved through the pandemic, any change in thoughts? Does that -- given the performance of those assets in your portfolio, does that make that strategy more attractive, less attractive? Any interest in increasing investment-grade exposure? Or perhaps going even further down the credit curve in terms of new investments?
Peter Mavoides: Yes. Listen, I think our middle market strategy is really governed by our desire to be a sale-leaseback provider of choice to our tenants. And because in the context of the sale-leaseback, we're competing on the quality of our execution and the reliability of us as a counterparty, and we're able to structure long-term investments on our lease form with our terms. And sitting here in January, with 97% money good rent and comparing that to my investment-grade peers, we feel pretty good about the quality of the portfolio that we've assembled and the nature of our tenancy.  Particularly when you couple that with the fact that this portfolio has been roughly constructed at a 7.5% cash cap rate with almost 100 basis points pickup to GAAP cap rate. As I said in the prepared remarks, we think we're getting some of the best risk-adjusted returns in the net lease space. And I think, if anything, we feel our investment thesis has been validated through this pandemic, and we'll continue to be disciplined and invest in relationships and sale leasebacks with people that we know and trust and assets that have good marketability.
Richard Milligan: Okay. And my final question is, as you're thinking about new sale-leasebacks and structuring those leases, any changes or contemplated changes in the shape or form of the escalators going forward?
Peter Mavoides: Listen, I would say the lease escalations are always an intensely negotiated provision with the counterparties wanting to pay as little as possible and us wanting to get as high as possible. The market range tends to be flat to 2%. On occasion, you'll see higher than 2%. I would say, you see flat with investment-grade tenants. On average, we were 1.4% in the quarter. Historically, we've been closer to 1.6%, 1.7% and that's really just a illustrative of the sample of deals we did, not a change in the market. And so that negotiation remains dynamic, and we'll continue to push to get as good as escalation as we can, and tenants will continue to try to lower their cost of funds as much as they can.  I would say, we like being kind of below 2% because when you have higher escalations, you have a scenario where instead of seasoning favorably, your rents may be growing faster than the tenant's profitability. And as you get further from your underwriting, it's better for the tenant to grow faster than your rent. So your rents get more -- better coverage and more stable.
Operator: Our next question is coming from the line of John Massocca with Ladenburg Thalmann.
John Massocca: Most of my questions have also been answered. But just a quick one. You mentioned cap rate compression that you were seeing out in the marketplace today. I mean, I guess, as you think about middle market non-investment-grade tenants, what are some of the alternative financing sources out there that have been driving some of this cap rate compression? Is it competing REITs? Is there more access to bank capital now than there was maybe even prior to the pandemic? Just what are the factors there because I think one of the benefits of kind of middle market net lease is supposed to be kind of the stickiness of those cap rates.
Peter Mavoides: Yes. Listen, I would argue that stickiness certainly remains. And over the past year, we've really transacted in the 20 basis point window despite all the noise and the volatile movements in interest rates. So John, I don't think that stickiness is gone. Most of the competition is coming from other net lease capital investors, whether it's public REITs who are dipping down into the middle markets to fill their investment appetites or private guys who've discovered the technology of the ABS financing are now able to compete on a levered basis with a more aggressive cost of capital. I would certainly say, bank financing is no more easy to get today than it was 6, 8, 9, 12 months ago.
John Massocca: And I guess as someone who's really utilized the ABS in the past, how sustainable do you think some of that private market, high leverage, ABS-backed investment in the space is? Is this kind of a passing phase, you think, in your opinion? Or could that be a real kind of cap rate compressor, if you will, going forward?
Peter Mavoides: Listen, that's a very efficient market. It's a very efficient way to access debt capital and it's been around for a long time. Gregg, on the call here, did one of the first ABS bonds a long time ago. And I think its use is more prevalent today, and I would anticipate it being here as a competitive factor going forward.
Operator: . I'm not seeing any additional questions coming in at this time. So I'd like to pass the floor back over to management for any additional closing comments.
Peter Mavoides: Great. Thank you, operator. And again, we apologize for the dropped host and leaving you guys waiting for a bit there. But thanks for your time today. Clearly, we're excited about the fourth quarter, but more importantly, we're excited about 2021 where the portfolio has come and our ability to continue to invest and grow. So we look forward to meeting with a lot of you investors at the Citigroup Conference upcoming, and stay well. And thank you. Thanks again. Bye now.
Operator: Ladies and gentlemen, we thank you for your participation on today's conference. You may disconnect your lines at this time.